Operator: Good morning, ladies and gentlemen. My name is Myles and I will be your conference operator today. At this time I would like to welcome everyone to the Garmin First Quarter Earnings Release. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star, then the number one on your telephone keypad. If you would like to withdraw your question, press star, then the number two. Thank you. I will now turn the call over to Ms. Polly Schwerdt, manager of Investor Relations. Madam, you may begin your conference.
Polly Schwerdt: Thank you. Good morning. We would like to welcome you to Garmin Limited’s 2006 first quarter earnings call. Please note a copy of the press release concerning this earnings call is available at Garmin’s investor relations site on the internet at www.garmin.com/stock. Additionally, this call is being broadcast live on the internet and a replay of the webcast will be available until June 2, 2006. A telephone recording will be available for 24 hours after this call, and a transcript of the call will be available on the website within 48 hours at www.garmin.com/stock under the Event Calendar tab. This earnings call includes projections and other forward-looking statements regarding Garmin Limited and its business. Any statements regarding our future financial position, revenues, earnings, market shares, product introductions, future demand for our products, and our plans and objectives, are forward-looking statements. Forward-looking events and circumstances discussed in this earnings call may not occur, and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our form 10K for the fiscal year ended December 31, 2005, filed with the Securities and Exchange Commission. Attending on behalf of Garmin Limited this morning are Dr. Min Kao, Chairman and CEO; Kevin Rauckman, Chief Financial Officer and Treasurer; Cliff Pemble, Vice President of Engineering; and Andrew Etkind, General Counsel. The presenters for this morning’s call are Dr. Min Kao, Cliff Pemble, and Kevin Rauckman. At this time, I would like to turn the call over to Dr. Kao.
 Dr. Min Kao : Good morning. From the press release, you can see that we had a very good quarter. Total revenue and EPS both exceeded our expectations. Revenue was up 57% year over year. We are especially pleased that it was up sequentially from the seasonally strongest fourth quarter. Over 920,000 units were shipped, up [68%] from the same quarter last year. This brings our total to 15 million units shipped to date, the highest number of any consumer GPS provider, which speaks for the strength of the Garmin brand. We delivered 34 new products in Q1, a very significant achievement. Over 50% of Q1 earnings were generated from products released within the last 12 months. Our worldwide employees increased to over 3,200, and R&D continues to account for nearly a quarter of our total [invoices]. We’ve seen some price erosion in the PND market, but it was partially offset by cost reductions and favorable product mix. Channel sell-through has been very strong. Many retailers have actually increased their orders for our products. As a result of this increased demand, we have experienced some product shortages due to constraints of our production capacity in certain long lead components. To meet the increasing demand, we have completed the purchase of our second Taiwan manufacturing facility with production to begin in a few weeks. Additionally we continue to expand our marketing sales infrastructure, including an addition of a new facility in the UK. Just some highlights for each of our four business segments. Automotive business was up 252, driven by the strong sales of PND products introduced into those lines. According to an independent market research, Garmin has over 50% of the PND market in the U.S. In Europe, Garmin showed signs of gaining market share into low double digits. We believe that we are positioned for further improvement, given the anticipated delivery of new products in Q2. Outdoor/Fitness business was up 21%, driven by the strong sales of new products introduced in Q1. and we expect continues strength driven by the new products. We believe Garmin has established itself as a leader of GPS enabled devices in both the running and cyclist markets. Marine markets were also up 21%, also driven by the strong sales of new products introduced in Q1, which include our new mapping and digital technologies. We also expect continued strength on these new products during the current marine selling season. Aviation business experienced a much smaller growth, only 4%, when compared to an equally strong first quarter last year. However, we expect this segment to go faster going forward, driven by the completion of the current [inaudible] certification, and the new promotion program. As we go forward, we are optimistic about the remainder of 2006. The total market for PND products is projected to nearly double this year. With our strong product portfolio and an expanded advertising campaign, we feel that we are well-positioned. We will continue to invest heavily in R&D, and expect to introduce a total of 60 new products in 2006. Based upon our first quarter performance, and the strong demand for our new products, we are increasing our outlook for the year. Finally, in light of the strong financial performance and continued growth opportunities, our board has approved a two-for-one stock split, and the doubling of our annual dividends in 2006. With that, I will turn the call over to Cliff Pemble, our Vice President of Engineering, who will present a product update. Kevin Rauckman will then discuss our financial results and updated 2006 guidance.
Cliff Pemble: Thank you, Min. I have been looking forward to briefing investors on our Q1 product highlights. Last quarter was one of the most exciting periods in Garmin history. To recap Min’s comments, we delivered 34 new products to the market during Q1, which is a record achievement for our engineering team. This morning I am going to provide a few highlights of what has been accomplished. At this year’s [FEBIT] show, we expanded our PND product family with the introduction of the StreetPilot C-500 series, and the addition of two new products to our nüvi line, the nüvi 310 and nüvi 360. Our new StreetPilot C-500 series inherits all the strengths of the popular C-300 series, like acclaimed ease-of-use and dual speakers for rich sound quality. The C-500 series adds many of the industry leading features found in the nüvi, such as travel guides, audio book and MP3 players, a high sensitivity GPS, and a brighter display. But the big news is the addition of Bluetooth capability for hands-free calling. Our Bluetooth solution features high-quality audio and our software is compatible with approximately 200 handsets, which is nearly three times more than competitive offerings. In addition, we’ve added a unique location-enabled theft protection system called Garmin Lock, and we’ve designed a line of innovative power adapters, which integrate a real-time traffic receiver into the cable, making our traffic solution much cleaner than solutions offered by competitors. For the nüvi, we also added Bluetooth capability and the Garmin Lock Best Protection System. The nüvi has experienced strong demand at its initial introduction last year. We anticipate that the addition of these features will make the nüvi an irresistible choice for customers looking for elegant, ease of use, and expandable capability all in one package. In addition to our PND’s, Garmin introduced exciting new solutions for Smart Phone users. Our Garmin Mobile 20 is one of the first of its kind to offer four-in-one utility for Smart Phones, a Bluetooth enabled GPS, hands-free speaker phone capability, turn-by-turn navigation, and an innovative mounting system for the vehicle. Garmin Mobile 20 provides more than turn-by-turn navigation. It also offers real-time content powered by our Garmin online data servers, such as real-time traffic, weather conditions, gas prices, a location enabled discount finder, and safety camera databases. In the fitness market, we delivered our new four-runner 205 and 305 products. These new devices offer a high sensitivity GPS receiver and exciting new software enhancement, all combined in a sleek, watch-like form factor. We delivered our new Edge product line, designed to exclusively for cyclists. The Edge has quickly become the must-have device for cyclists around the world, as it is the only product to offer speed and distance monitoring with wireless heart rate and cadence sensor capability in an elegant yet robust package. Our fitness products include Garmin training center software, which allows users to manager their own workout data on a personal computer, and our entire line of fitness products is compatible with our motion-based web portal, which allows users to analyze, archive and share workout data with other motion-based users around the world. In the outdoor market, we expanded our offerings with our new X series products. Our new GPS 60 CX and CSX add a high sensitivity GPS receiver for best performance when operating in dense foliage and other obscured signal conditions. Both the 60 X series and eTrex X series feature a MicroSD memory card slot, which allows the user to expand the available memory per mass and user information, or they can choose to purchase one of many pre-programmed data cards offered by Garmin, which contain detailed inland lakes and topographic information, as well as our popular BlueChart data for mariners. In our Marine line, Garmin launched 15 new products during a coordinated rollout occurring March 25th with our marine retail partners. This rollout was considered a success, and we see continued strength in our marine product line moving into the latter part of this season. In addition to the 15 new products delivered during the first quarter, we also introduced new products in our marine portable and radar product lines. GPSMAP’s 378 and 478 offer exciting new capabilities in our marine portable products lineup. The GPSMAP 378 offers a pre-programmed map containing detailed inland lakes information combined with street-level mapping information provided by MapTech. The GPSMAP 478 offers pre-programmed maps containing detailed BlueCharts combined with MapTech maps. Both of these products include an automotive kit which provides out of the box, turn-by-turn navigation capability with voice prompts, and can display real-time weather information using the optional GXM30 XM data receiver. In our radar product line, Garmin introduced two new products -- the 2-kilowatt GMR 21 and the 4-kilowatt GMR 41. These new radars are housed in a smaller 24-inch dome with low vertical profile, which increases flexibility and mounting. These radars also feature our narrow beam width intended technology for better target resolution and digital display processing with Ethernet connections, making it easy to add radar capability to the Garmin marine network. In the aviation market, the GPSMAP 396 continues to be a strong seller. This product has a unique position in the market as the only portable navigator with real-time weather capability provided by XM. During Q1, we completed certification of the Columbia 400 with the G1000 integrated cockpit system. Columbia 400 includes dual 10.4 inch displays mounted in an instrument panel which rivals the look of a premium luxury car. In addition, it includes our new keyboard controller, the GCU476, and the aircraft also includes our GSC700 flight control system. We continue to make progress in the development of our G1000 system for the very light jet market. The Cessna Mustang program is nearing the final stages of flight-test certification and is on track for completion in the second half of ’06. Recently, Diamond Aircraft flew their new D-Jet, DLJ, for the very first time with good results. The Embraer's Phenom 100 and 300 project is well underway, and we recently completed a critical design review on the program. Finally, we continue to work with Honda as they develop their proof of concept jet aircraft. The population of G1000 equipped aircraft continues to grow. During Q1, we delivered over 300 new systems to aircraft manufacturers, and the total population of G1000 equipped aircraft exceeds 1800 units. We continue to enjoy a strong relationship with the industry’s finest players. We are honored to be a key supplier to Cessna, Cirrus Design, Columbia, Diamond, Embry Air, Honda, Kodiak, New Piper, Ratheon, and Tiger Aircraft. We are working hard to support these OEM customers in the exciting general aviation market. With that, I would like to turn the call over to Kevin who will be giving the financial presentation.
 Kevin Rauckman : Thanks, Cliff. It’s a pleasure to be able to update you all on the financial results from the first quarter. As you can see, we have very strong performance, and I’m going to walk you through first of all a summary. As you can see, our top line revenue growth was 67%. That was our EPS growth this quarter at 86%. We did see a $0.06 EPS impact due to a foreign currency loss of a little over $7 million, and overall our bottom line without foreign currency impact was around 65%, so 67% top line, 65% bottom line without FX. Gross margins during the quarter at 50.5% were better than expected due to price erosion, which was offset by reduced product costs and favorable product mix during the period. Looking at our operating margins, our operating margins came in at 31%, which are down from last year, but better than expected, due to again the gross margin, unfavorable gross margin of about 310 basis points. Increase SG&A of about 100 basis points, and favorable R&D expenses of 110 basis points. The SG&A expense was higher than expected due to higher than planned advertising in both the U.S. and European markets. Part of this increase was also due to the volume. Our revenue volume was higher than earlier anticipated, so therefore we had higher cooperative advertising spend during the quarter. On the units shipped, we shipped over 900,000 units across the business. The average selling price in total was $350 per unit. This compares to about 6% higher than Q1 of ’05, which was $330 on average selling price. Looking next to the segment revenue, as we communicated earlier, Q1 is the first quarter where we’re providing results for our new four-segment business model, so we are in a transitionary period in the type of information and the level of detail that we’re providing. You can see from this slide that we’ve experienced strong revenue growth across all segments, other than the Aviation segment. In fact, the Automotive/mobile revenue grew over 2.5 times compared to Q1 of ’05 on the strength of our nüvi, C series, and other PND products. With the exception of Aviation, we are on track within all segments to meet or exceed our 2006 revenue goals, which I will provide later on in my presentation. The Aviation segment should increase its growth rate beginning in Q2 and continue for the remainder of the year. As Min stated, sales of our products introduced within the last 12 months, which we view is a very important metric to our business, increased to 61% of our first quarter revenue. Looking next at segment and geography on a percent basis, because of the strong PND market during Q1, our Automotive/mobile segment now represents 47% of our total business. You can see that’s significantly out from 22% as a total part of our Garmin business a year ago. Looking at the geography, Garmin Europe growth outpaced our North American market growth, and Europe now represents 32% of our total business, up from 26% during the first quarter of 2005. Our North American revenue increased over 50%, while our European business increased over 100% during the first quarter. We also saw strong growth from our Asian markets as the Asian sales grew 83% during the period. In fact, a point of note here, if you looked at the revenue results of $322 million, that’s the largest single quarter in our company’s history. Looking next at the segment growth margin, this is without a doubt the first time you all have seen a breakdown to this level of detail. Our Q1 gross margins increased to 57% and 55% within our Outdoor/Fitness and our Marine segments respectively. First quarter gross margins increased, however, to 62% and 42% within our Automotive/mobile and Aviation segments respectively. We did experience favorable product mix and improved product cost per unit, which were the main reasons that our overall first quarter gross margins remained above the 50% level. For those still tracking at home, based on our old segments, the consumer gross margins during the period compared to the fourth quarter actually increased from 47.7% in Q4 up to 48.1% in Q1. This will be the last time we talk about the consumer margins in that regard. Looking next at the operating margin performance, our Q1 operating margins increased to 39% and 37% within out Outdoor/Fitness and Marine segments respectively. Q1 operating margins decreased however to 24% and 35% within our Automotive/mobile and Aviation segments respectively. The first quarter total operating margins were down 300 basis points year over year due to the decline in gross margins and the increase in advertising we spent. Garmin invested $18 million in advertising during the period, which is about $2 million higher than expected, due to our increased revenue during Q1. With the exception of our Automotive/mobile segment, we expect short-term margins to be relatively stable, despite the possibility of quarter to quarter variabilities related to product mix and the timing of new product introductions. We also expect that our Automotive/mobile segment will experience declining operating margins due to this product mix, and a continued transition towards mass market levels. When we compare the consumer segment from our old business model looking at operating margins from Q4 to Q1, we also saw an increase in operating margins going from 28.6% in Q4 up to 30.1% in Q1. Looking next at our operating expenses, we saw R&D increase about $8 million year over year in absolute dollar terms, but this was down 110 basis points to 7.7% of sales. We added 37 people to our engineering team during the quarter, and now we employ nearly 750 engineers and engineering associates. We also increased our advertising spending, as I mentioned, as a percentage of sales to 5.7% compared with 3.5% a year ago. In other SG&A, also declined 120 basis points to 6.0% of sales from 7.2% a year ago. This represents about a $5.6 million increase in other SG&A. But overall, our operating expenses were flat as a percentage of sales at 19.5% during Q1. Looking at our balance sheet, you can see that our balance sheet continues to remain very strong. We saw cash and marketable securities increase to $765 million at the end of Q1, which is a little over a $50 million increase. The accounts receivable also increased to $200 million due to increased revenue and now accounts for approximately 60 days of sales. I’ll try to pre-empt a few of the questions I’m sure you’ll have on the cash receivable and the fact that the linearity of the shipments that we saw during Q1 were actually a little bit back-end loaded into March, where we shipped roughly 45% of the sales of our quarter in March. Now, one of the reasons we saw an increase in AR during the period. Our inventory dollars were flat with the fourth quarter. Our days in inventory metric, again a significant measurement, declined during the period. At the end of Q1, we now hold 100 days of inventory, which is down from 114 days at the end of 2005. Looking further into the details what makes up this 100 days of inventory, we ended the quarter with: $74 million in raw materials, about 34 days; we had $38 million in WHIP and assemblies, about 19 days of inventory; and our finished goods came down to $101 million, which is about 47 days. We also ended Q1 with around $13 million of inventory reserves. Looking at the retail channel inventory, it appears to be very lean as sell-through of most of our products remained strong during Q1. When we evaluate cash flow, we saw the cash flow results during the period. Cash flow from operations came in at $56.2 million. Free cash flow, as we stated in the press release, during Q1 was a little over $41 million. We did invest about $14.9 million of CapEx during Q1. Cash flow from investing was $87.1 million conducive cash, and this was primarily made up of the $14.9 million of capital expenditures as well as a net purchase of marketable securities of around $72 million. Cash flow from financing was an $11 million use of cash during Q1. Two primary components of that were $6.7 million fees from stock option, as well as a $4.4 million tax benefit related to the stock option exercise. Overall, we increased the marketable securities line about $72 million during the period, and we returned an average of 4.0% on all cash and marketable securities balances during the quarter. A few other financial metrics. Our effective tax rate during Q1 was 15.5%, just below the expectation of 16%. We anticipate that the 15.5% rate will continue throughout 2006. And as required by FAS 123R, we expensed stock option expense during the period. We expensed 2.5 million of compensation expense due to the fair value of shares with our stock option, and ESPP plan. The $0.02 EPS impact was expected, and we still forecast full-year impact to be around $0.07 per share. This leads us to my final slide, which is updated guidance. As you saw from the press release this morning, we upped our annual guidance for 2006. We remain optimistic about the future success of our business. We now expect at least $1.4 billion in revenue, with double-digit growth across all four of our newly designed business segments. We’ve increased our EPS outlook up to $3.47 per share, which excludes $0.07 per share of expensing of options. This $3.47 is a 27% growth rate over 2005. We’ve also increased our revenue guidance for our Automotive/mobile segment up to at least a 75% growth rate for 2006. All other business segments, revenue growth rates remain unchanged from the last quarter. We now expect to spend $70 million of CapEx during the year, which includes $10 million of our new Taiwan facility purchased during Q1, $20 million of production equipment, leaving around $40 million of maintenance CapEx across our business. We expect a stable outstanding share count of 109 million shares. That ends the formal presentation. I appreciate all of your interest. At this point, we’re going to open up the conference call for Q&A.
Operator: (Operator Instructions) Your first question comes from John Bucher with Harris Nesbitt.
 John Bucher - Harris Nesbitt: Thank you very much. One housekeeping question, and then just a couple of operational ones, if I could. I’m not sure if you mentioned it or not, but the $3.6 million in other income, was that sale of marketable securities?
 Kevin Rauckman : Yes, that was a sale of marketable securities, and we’re required to list that as a non-operating gain related to sale of stock prior to maturity.
 John Bucher - Harris Nesbitt: Okay, and then, moving on to the operational questions, you’ve indicated a couple of things that it appears from the commentary that you expect the market share increases that you’ve seen in Europe, that you expect some of that to continue. Is there any margin impact that you’re anticipating now that Europe’s about a third or so above the revenue mix? You’ve talked about product mix and some of that that was favorable, but is there any impact on European sales mix to the margin? Also, related to that, you’ve talked about the PND, expectations for PND margins to decline. Can you quantify that, or provide some color and commentary around that point also? Thank you.
 Kevin Rauckman : As you pointed out, the automotive markets, both in U.S. and specifically in Europe, is reported for continued strong growth, and I think it’s our goal to take advantage of this growth opportunity by offering the products that Cliff outlined, and may include very attractive prices, and it has included very attractive prices, in order to drive both the revenue and the EPS forward. So I think if we’re successful with that strategy, we should see or could see a more significant change in our margins, particularly in the PND market. Overall I would expect that the PND margins to come down, but again that’s all the intention of our overall guidance assumption that I just walked through. I think we’ve talked about maybe 300 basis points, roughly, in that order of magnitude in the past. We’ll just have to see another full-year shakedown as we get into experiencing growth in Europe and in the U.S.
 John Bucher - Harris Nesbitt: Then on the European sales mix?
 Kevin Rauckman : Specifically, yes, we would expect the European market to continue to grow a little bit faster than the U.S. market, so that will -- the expectation on margins again are all accounted for with that expectation.
 John Bucher - Harris Nesbitt: Final question, I know that you don’t provide quarterly outlook, but I’m just wondering, would you see any reason to believe that the historical sequential trend from first quarter to second quarter on the top line, that that same trend should apply in ’06 as it did in ’05?
 Kevin Rauckman : Well, it’s hard to say an exact trend, but definitely sequentially we expect revenue to be up Q2 over Q1, given the market that we’re right in the middle of, with the Marine selling season and also a pretty strong PND market as well.
 John Bucher - Harris Nesbitt: Thank you very much.
Operator: Your next question comes from Jeff Evanson with Starr, Lee & Company.
 Jeff Evanson - Dougherty & Co. : Good morning. Thank you for taking my questions. It appears that possibly we’re looking at the marine product category decelerating throughout the year, and I’m a little puzzled by that, given that you should probably face easier comps in the back half of ’05. Could you talk a little bit about what’s going on in that category?
 Kevin Rauckman : Did you say decelerating?
 Jeff Evanson - Dougherty & Co. : I think so, yes. You grew 20%, guidance says 10%.
 Kevin Rauckman : Yes, I think overall, we would still expect decent growth rates quarter over quarter as we get into Q2 and Q3. But yes, I think it’s implied in the fact that we’re going be in a 10% flux for the year. Growth rates are going to be a little bit below the growth rate we experienced in Q1.
 Jeff Evanson - Dougherty & Co. : Is that due to timing of new product launches?
 Kevin Rauckman : Primarily. As Cliff mentioned, we rolled out 15 new products for a pretty strong rollout in Q1. We expect that they’ll continue to sell well, but when you bring out that level of new products, it tends to drive short-term performance in any one segment.
 Jeff Evanson - Dougherty & Co. : You’ve launched some new language capabilities for you PND’s, and we’re hearing that certain markets are getting improved data for mapping in Asia. I’m wondering if you would care to comment about a PND launch in certain Asian markets, such as China, sometime in ’06.
 Dr. Min Kao : I think that the PND markets for Asia is still emerging. The data quality is still not quite there, and also, tends to be expensive. However, we’ve been working on various versions of our products to cover China, Japan, Thailand, Taiwan, and Malaysia. So we believe within the next year, we will establish more contribution from that part of the world.
 Jeff Evanson - Dougherty & Co. : Great. Last question, the Eclipse VLJ appears to be shaping up very well for their launch this year. I know that Abadyne is designed into that, but they’ve typically partnered with your navigational radios. Do you have an opportunity there still?
 Kevin Rauckman : Our understanding is not in that program.
 Jeff Evanson - Dougherty & Co. : Okay, thank you.
Operator: Your next question comes from Ben Swinburne with Morgan Stanley.
 Ben Swinburne - Morgan Stanley: Thank you. Good morning, guys. Your business analysis you mentioned is skewed more towards Europe and PND, which I’m sure are tied to each other. Can you talk about unit trends were sequentially in the first quarter? Obviously the nüvi was very strong, helped you on the pricing side, but did your share lift in the quarter in Europe mean that your overall unit for PND actually grew first quarter versus fourth quarter? I have a follow-up.
 Kevin Rauckman : On the product mix side, what we experienced is that the C series continues to sell very strongly, but the nüvi, as you recall, had just come out in Europe late last year, and then we saw the nüvi pick up as a percentage of the overall PND market, so I’ll just say from a sequential change, that was the main trend, the change. C series and nüvi are the two strongest product lines in PND, but nüvi’s the one that’s picked up the greater percentage of that total. As far as the market share, I think there are so many research reports out there, and from our best guess, it looks like share has picked up in Europe. We hope that will continue as we go through the rest of the year.
 Ben Swinburne - Morgan Stanley: Did your production capacity limit you at all in the first quarter? In other words, given the demand for the nüvi in Europe and in the U.S., did you actually leave some revenue on the table, because you just couldn’t get the units out as quickly?
 Kevin Rauckman : Yes, I think there was some constraints there. I mean, we’ve been working very diligently to bring our second factory up. There’s also been, as Min mentioned, a little bit of constraints on component availability, so I would say there was some lost opportunity or lost revenue.
 Ben Swinburne - Morgan Stanley: Last question, Kevin, in Europe, you go against a pretty formidable competitor in Thom Thom who’s got a little bit of a different distribution model. Your European business has changed so much over the last three years, any thoughts on positioning yourself, maybe going direct to retail rather than using resellers, if that is an opportunity or if it’s something that doesn’t really change the game that much.
 Kevin Rauckman : I think we still view that our loyal and European distributors are very important to the market business. As you know, Ben, the European market is quite fragmented. There is unique opportunity and challenges in each geography there, and we feel like continuing to use those distributors is a benefit to us, not only in the sale of the product but also in the after-market, or the support of those products after the sale.
 Ben Swinburne - Morgan Stanley: Thanks, and thanks for the initial disclosure.
Operator: Your next question comes from Noelle Swatland with Lehman Brothers.
 Noelle Swatland - Lehman Brothers: Hey, guys, congratulations on a great quarter. Just a couple of quick questions here. I think last quarter you had expected Marine to start to ramp and some of your fitness new products would start to ramp in the first quarter, but it seems as though maybe relative to your earlier expectations, we saw more of the initial shipments in Marine possibly than you had anticipated. Is that fair in terms of some of the revenue upset, or should we see, as you had previously outlined, more of that to really ramp in Marine and Fitness this second quarter?
 Dr. Min Kao : Well, although we feel that we have executed quite well in delivering our new products, so because of this good execution of delivering new products, we experience that. There is an expected ramp-up of the Marine sales.
 Noelle Swatland - Lehman Brothers: Is that the same with fitness as well, or was that delayed a little bit?
 Dr. Min Kao : I don’t see much difference. I think both segments, both businesses are up 21%, so we feel that both are driven by the delivery of new products.
 Noelle Swatland - Lehman Brothers: Okay, I know you don’t comment on quarterly guidance, but as you start to think about the total company gross margins moving into the second quarter, can you give us some qualitative metrics to think about? Should we think that given the volume ramps in some of these new products, combined with some discounting on some of your older PND, you know, 500 series and UV products, that we could see a sequential decline in your margins?
 Kevin Rauckman :
 Noelle Swatland - Lehman Brothers: Lastly, how do you expect the -- you had said that you continue to focus on R&D spend this year. Can you give us what you expect for the full year in terms of percentage of sales for R&D? Thank you.
 Kevin Rauckman : Looking at the full year last year, we ended the year about 7.3% on R&D. I think we should be roughly that same number, maybe a little bit below that. It depends on the top line growth, but I think we should not see an increase on R&D as a percentage of sales during the year. We’re committed to hiring, but obviously when we’re in a period where revenue is growing at 37%, it’s hard to hire more than 37% growth on engineering talent.
 Noelle Swatland - Lehman Brothers: Thank you.
Operator: Your next question comes from Bill Benton with William Blair.
 Bill Benton - William Blair: Good morning. In terms of, I think you talked about 75% or better growth in Auto, I think 10% or better in Marine, and 20% or so in Aviation. Could you remind me what your recreational target is, and if I got the other ones correct?
 Kevin Rauckman : Yes, the Outdoor Fitness segment we had guided to 15% or greater.
 Bill Benton - William Blair: Okay, and that’s the same as…
 Kevin Rauckman : It’s the same as what we had last time, and we stated 20% growth through the first quarter.
 Bill Benton - William Blair: Right, okay. Then in terms of the channel inventory, your feeling is that it’s relatively clear, even though you shipped some that’s later in the quarter, but the sell-through was obviously strong during the quarter, which gives you that confidence?
 Kevin Rauckman : Yes, Bill, that’s correct. I think evaluating the major retailers and distributors we sell to the channel inventory will prove to be pretty lean.
 Dr. Min Kao : Yes, based on product shortages.
 Bill Benton - William Blair: Okay. Kevin, when you said 300 basis points decline, was that just in the Automotive area that you were looking at that, or was that an overall number?
 Kevin Rauckman : No, I think what I meant to imply was that it’s really the whole business. We guided to an overall operating margin for the year of about 30%, so that’s really where I came up with the 300 basis points, given the fact that we were higher than that last year.
 Bill Benton - William Blair: Right, okay. I know it’s hard to figure out what shares are, and I guess in Europe, it sounds like you guys did pretty well, despite the fact that your competitor there was transitioning some old product and cutting price. Did you see the impacts of that at all? Was Europe as you expected or was it maybe a little bit tougher and you advertised more to overcome some of that price-cutting on them flushing out their line?
 Dr. Min Kao : We are definitely superior in a very competitive market, and we believe that in Q2 we are provided a much better view of our demand and our market position, given that our new products we expect to deliver this week or next.
 Bill Benton - William Blair: Okay. I don’t know if we can get the revenue gross margin operating margin for the fourth quarter of 2005. Are you guys going to post that to the website at all?
 Kevin Rauckman : No, we’re going to play it on as we go through the year, just giving quarter over quarter guidance, and comparison to the prior year, so we’ll lay that out again as we go through the year, but we won’t post back to Q4 ’05.
 Bill Benton - William Blair: Okay, one thing: you mentioned new promotions in the aviation segment to kind of spur some growth in the second quarter. Can you give us a little color on that?
 Kevin Rauckman : Primarily referring to the retro-fit markets, where we’ll rolling out some special promotional programs to try to drive demand into sales there.
 Bill Benton - William Blair: Okay, it’s just kind of focused toward retrofit then. Okay, great, guys. Congratulations again.
Operator: Your next question comes from Rich Valera with Needham & Company.
 Rich Valera - Needham & Company: Thank you. Hoping you could comment on your strategy for going mass market. You know, you rolled out the I series last year, which I think was probably not as strong as you had hoped, but you had great success with the C series and the nüvi, I’m just wondering sort of how you plan to take things down market. Do you think you’ll take the nüvi form factor and maybe strip it down some and move down that way? Or do you think that the I series, with that very small screen, is still the way to go down market?
Cliff Pemble: Well, actually, Rich, the I series did quite well in the U.K. particularly towards the end of the year, with a low price point. I think going forward, you know, the components market is so dynamic and we’re evaluating where the sweet spots are landing in terms of displaced product size and cost, so in terms of display size, in terms of features, all those things, we’re keeping everything on the table. We would expect to see kind of a multi-pronged strategy, where we might have units in the higher end and units on the lower end.
 Rich Valera - Needham & Company: Great. As a percentage of sales, Kevin, SG&A, should that be sort of similar to what it was last year, do we think?
 Kevin Rauckman : I think it will check up a little bit, just given our commitment to advertising and promotion within these fast-growing markets, particularly PND, so I think generally what we would expect is SG&A to be a little bit higher percentage of sales, and R&D to be a little bit lower. Hopefully we can keep the operating expenses in the 19% - 19.5% range as we go through the year. Of course, a lot of it depends on the volume growth on the top line.
 Rich Valera - Needham & Company: Okay, thank you.
Operator: Your next question comes from J.B. Groh with D.A. Davidson.
 J.B. Groh - D.A. Davidson: So much for a seasonal weakness. I have a couple of questions on Aviation and the timing issues there. Obviously you had the TAWS impact last year. Can you quantify that in any way, so we can get more of an apples to apples? It seemed like there was a big bump there. Is that business higher margin?
 Kevin Rauckman : I think in general, the TAWS was somewhere in the $7 million to $8 million range, in terms of the year-over-year impact. We had it in Q1’05 and due to the mandate, and then short-term benefits, we did not have $7 million or $8 million in Q1 of ’06.
 J.B. Groh - D.A. Davidson: So is that higher margin business then the incumbent stuff?
 Kevin Rauckman : Yes.
 J.B. Groh - D.A. Davidson: Okay, and then the timing on Columbia certification. It appears as though you had maybe some expenses in Q1 where you’re not going to recognize some benefits until Q2. Is that a correct assumption?
 Kevin Rauckman : I think there’s some factors, some natural variability, as I talked about, in quarter over quarter, because the aviation margins were a little bit lower than we had been experiencing. But it was both kind of a natural product mix, as well we did well in some Q1 costs related to that business.
 J.B. Groh - D.A. Davidson: If you characterize OEM/G1000 type revenues versus hand-held versus retrofit GPS systems, are the margins similar in those three buckets?
 Kevin Rauckman : Pretty similar. The only difference in the aviation segment, as I think you know, is portable products, like the 396 that Cliff’s mentioned. That has a little bit higher margin than the OEM and retrofit.
 J.B. Groh - D.A. Davidson: Seasonally, that’s probably a better Q2 and Q3 product than a Q1 product, I would guess?
 Kevin Rauckman : That’s correct.
 J.B. Groh - D.A. Davidson: Just a couple of housekeeping issues, the $0.05 remaining in stock option compensation, that accrues evenly throughout the year?
 Kevin Rauckman : We hope so, yes. There are some variability based on what stock price does, but in general, yes.
 J.B. Groh - D.A. Davidson: Could you give us a quarter end share count? I don’t know if that was in the release or not.
 Kevin Rauckman : Yes, it was in the release. It was 109, on a diluted basis, it was 109161.
 J.B. Groh - D.A. Davidson: That’s end of the quarter shares outstanding? Okay, great. Thanks a lot, guys.
Operator: Your next question comes from Jim Duffy with Thomas Weisel Partners.
 Jim Duffy - Thomas Weisel Partners: Thank you. Hello, everyone. Are there any factors that give you reason to believe that seasonality should be any different this year from previous years, particularly in the consumer business?
 Kevin Rauckman : That was an earlier question, and the answer was not really. We expect a sequential increase from Q1 to Q2 much like we’ve experienced in the past.
 Jim Duffy - Thomas Weisel Partners: How about the ramp over the remaining quarters of the year?
 Kevin Rauckman : Q4 is going to be a large quarter. We typically see a Q3 dip for various reasons -- Europe’s generally slowed down a little bit and the Marine selling season is over with, PND is totally moved, it’s faster in Q3, and then we have a big ramp-up in Q4 due to the holiday season.
 Jim Duffy - Thomas Weisel Partners: I guess where I’m going with this is your Q1 is typically around 20% of the total year. It would suggest the full year number could come in a little above that $1.4 billion.
 Kevin Rauckman : Well, we’ll have to update you and others at the end of the second quarter. I think we’ve communicated that $1.4 billion is the low threshold number. We’ll just have to see how Q2 goes.
 Jim Duffy - Thomas Weisel Partners: On the cost of product, can you speak to the component environment in some more detail and some of the areas where you’re seeing improvement in the cost of product? Is that exceeding your objective that you stated in the past for more than a 10% year to year decline in costs?
 Kevin Rauckman : I think it depends on which components we’re talking about. I think Flash, for example, is definitely more than that. We see more than 10% cost reduction on Flash memory in the short-term. Displays also I think are maybe around the 15% to 20% level on the short-term. So definitely product costs helped us offset some of the price erosion that Min mentioned earlier in his part of the presentation.
 Jim Duffy - Thomas Weisel Partners: Which are the components that are in tight supply?
 Dr. Min Kao : Some LCD and IEC components that typically has three or four months of long lead time.
 Jim Duffy - Thomas Weisel Partners: Okay. A question on your strategy for utilization of the new manufacturing capacity. How do you see the division of labor between the two facilities? Will one focus on PND’s? Can you just provide a little color on that?
 Dr. Min Kao : I think the new facility will be primarily for the production of the PND products. Since two factories, only hour drive apart, so that we are not much different in target level costs in operation.
 Jim Duffy - Thomas Weisel Partners: Okay. Is that something that should help you on the margins in that product category, because there will be less changeover costs, or utilization factors will provide some leverage? Am I thinking about that correctly?
 Dr. Min Kao : Volume will drive the efficiency, so it all depends on the volume.
 Jim Duffy - Thomas Weisel Partners: Okay. Final question, the contribution of Garmin Mobile, is that meaningful at this point in time? What type of traction are you seeing with that revenue contributor?
 Kevin Rauckman : We’re seeing growth in subscribers for Garmin Mobile, but it’s still a very small, early adapter kind of market right now, so it’s really not material to the overall results.
 Jim Duffy - Thomas Weisel Partners: Thank you very much.
Operator: Your next question comes from Peter Friedland with Soleil Group.
 Peter Friedland - Soleil Group: Not to belabor the seasonality questions, but just a few more questions on that. Just really trying to get a rough sketch or a pattern for some of these segments for the whole year. For Marine, is Q2, is that typically the strongest quarter of the year, in absolute dollars for Marine?
 Kevin Rauckman : Every year is different and I think in general, that is the case, especially with the rollout of the many new products for Q1. We would expect those to continue to sell well in Q2, yes.
 Peter Friedland - Soleil Group: Then for the outdoor products, how does that segment typically look across the year?
 Kevin Rauckman : I think it’s much like the PND where Q2 and Q4 are the largest quarters during the year. I would expect sequentially that there would be some growth in that segment also during Q2.
 Peter Friedland - Soleil Group: Okay, and then a question on Aviation. It looked like, just looking at the GAMA numbers for Q1, the industry shipments for the planes you guys were on were very strong. So is there -- I would have thought your Aviation business would have been a little bit stronger. Is that just a timing issue?
Kevin Rauckman: Yes, I think there is a factor in timing. We talked about the new certification of a new aircraft that will pick up in Q2.
Peter Friedland - Soleil Group: Actually one other thing on your European revenue. Can you give some breakout of that revenue by country? Are you still more focused in the UK, or is it starting to spread out?
Kevin Rauckman: No, I think it is very similar to what we have talked about in the past. That is you have France and Germany, Italy, Spain and the UK being the five of the largest geographics, and we're not going to breakout the numbers between those countries. UK is not the dominant geography at this point.
Peter Friedland - Soleil Group: Thank you.
Operator: Our next question comes from Ron Epstein, Merrill Lynch.
Ron Epstein - Merrill Lynch: Good morning, guys. Just a couple of questions. What do you think about semi-integrated products with the OEMs? Have you pursued that route at all?
Cliff Pemble: Yes, we have actually done quite a bit of that, Ron. One of the most visible was the MOPAR project. In Europe we continue to work with automotive OEM providers to do the semi-integration like you're talking about.
Ron Epstein - Merrill Lynch: Okay. So that is an area where you are continuing to pursue?
Cliff Pemble: Yes, we actually have quite a bit of effort and resources devoted to that.
Ron Epstein - Merrill Lynch: How about not dealer, but more OEM, true space plate removal kind of thing where there is something in the dash?
Cliff Pemble: Yes, so far our efforts have been really focused on the PND and how to integrate that into the vehicle. I think most OEMs seem to have a lot of interest in that versus going deeper into the instrument panel.
Ron Epstein - Merrill Lynch: Interesting. Another question for Cliff. How many aircraft are you currently working on trying to certify?
Cliff Pemble: Well, there are various projects we have going with those existing announced customers, as well as unannounced customers. I guess we probably have six to eight projects open at this given time, things we are working on.
Ron Epstein - Merrill Lynch: So six to eight mixed, some announced, some are not?
Cliff Pemble: Yes.
Ron Epstein - Merrill Lynch: Another question that really did not get asked yet on this call, even though pretty much every other question did. What do you guys think now about the GPS market opportunity in cell phones? I guess there was a view at one point that some of the PNDs could get cannibalized by cell phones, and you guys launched your own cell phone product. What view do you have on what is going on in that segment of the market?
Cliff Pemble: There are probably several things to consider. One is the pure application play like the existing Garmin Mobile product with Sprint. Certainly there is going to be classes of users that want that convenience and want to use it on a basic feature phone. So that is one area. The limitations are the screen size and network speed in terms of downloading maps. The second consideration is the smart phone market where there is a larger display and access to more memory. We definitely see some potential for growth there, which is why we introduced the Garmin Mobile 20 product, which specifically addresses smart phones users. But overall it appears like PND continues to be the strongest category, and while there will probably be gains in smart phone and feature phone applications, it seems like people like the larger display and the dedicated device.
Ron Epstein - Merrill Lynch: Great, thank you Cliff.
Operator: Your next question is a follow-up from John Bucher, Harris Nesbitt.
John Bucher - Harris Nesbitt: Thank you. Actually to pick back up on the G1000, tying into your revenue outlook for the Aviation segment of up 20% or so, I guess with the Mustang shipping towards the end of this year, it is likely that the real high ASP G1000 shipments probably don't start until… is it possibly not until the fourth quarter?
Cliff Pemble: Yes, I would really say that first quarter of '07 is when to really expect to see some of that impact, because the shipments in the fourth quarter are going to be very limited.
John Bucher - Harris Nesbitt: I know you don't typically talk specifics on ASPs and the like, but is your expectation that those are going to be equipped with redundant systems including radar, flight directors and autopilots and other things that will probably drive that ASP up substantially above the piston engine units?
Cliff Pemble: Yes, most definitely. The jet market requires, as you say, the redundancy, the dual attitude, dual air data, free displays, radar, flight control. We would expect to see some trending up of the ASPs in the piston market as well as we bring the flight control solution to more aircraft.
John Bucher - Harris Nesbitt: So your 20% outlook for 2006 per your previous comment really does not reflect the impact that you're going to see for these much higher ASP G1000 shipments, which really start to be felt in the first quarter of '07?
Cliff Pemble: Yes, I think that is fair.
John Bucher - Harris Nesbitt: Thank you.
Operator: Our next question comes from Robert Schwartz, Jefferies & Co.
Robert Schwartz - Jefferies & Co.: I just want to get a couple of clarifications. You were kind enough to talk about some of the component declines that have helped you with your margins in the PND market. But you did not mention data, and I didn't know if there were any improvements in data costs or if they have been fairly stable and if you could give us some help there?
Kevin Rauckman: I think they have been generally stable. We have been able to improve the quality of our mapping data while at the same time keeping the prices pretty much in line with what we had.
Robert Schwartz - Jefferies & Co.: That is very helpful. Your 75% revenue growth target for PND, can you remind us what that is up from?
Kevin Rauckman: Up from 60%.
Robert Schwartz - Jefferies & Co.: Great. Maybe I misunderstood, it was asked previously about whether actual units in PND were up sequentially and I don't know if you were able to answer that or you did answer it and I misunderstood the answer.
Kevin Rauckman: No, I don't believe I did answer that. I think that was Dan's question, and actually sequentially they were slightly down, not to the normal level that we had seen from Q4 to Q1. But we actually saw a slight decrease in global units during the quarter.
Robert Schwartz - Jefferies & Co.: Was that largely because of the constraints you talked about, or are you pleased with the seasonality that you saw?
Kevin Rauckman: No, I think partly the constraints were there. Yes, that impacted it. The good thing was though that the average price point in that market was a little bit up from Q4 to Q1 due to the nüvi contributions.
Robert Schwartz - Jefferies & Co.: Yes. You mentioned 900,000 units. Is there any way to think about how that breaks across the various four components?
Kevin Rauckman: There is a way to think about it, but we are not willing to give that as public information.
Robert Schwartz - Jefferies & Co.: I can understand that. My last question if I may, is when you look at Europe in the PND market, where do you see the vulnerabilities that allow you to take market share? Who do you think the losers are, if you can, if you're willing to talk about that?
Kevin Rauckman: I think it really gets back to Cliff's presentation on some of the really exciting features that we have added into the products like Bluetooth, hands-free. I think just the product portfolio that we have laid out we feel pretty comfortable with, but again we are not going to comment on who is going to be the loser. It just remains to see what happens there.
Robert Schwartz - Jefferies & Co.: Thanks so much for taking my question.
Operator: Our next question comes from Peter Vogel, The Boston Company.
Peter Vogel - The Boston Company: One clarification on a question. I'm wondering, what was the new product contribution of the last 12 months or sales from products introduced in the last 12 months? Was that 51% or 61%?
Kevin Rauckman: 51%.
Peter Vogel - The Boston Company: If you could just help me understand this, you were manufacturing constrained. Component prices were in your favor, but there is some three to four month lead times on certain components. So how is that sort of all working together?
Kevin Rauckman: Can you rephrase the question?
Peter Vogel - The Boston Company: The components shortages that you're seeing and that combined with manufacturing bottlenecks, how are you also able to see favorable pricing on components?
Kevin Rauckman: I think it is just a factor of what the overall market pricing is doing. I think we're not the only company that has experienced significant price reductions on flash memory, on LCDs and displays. So it is not just volume dependent. It is just the nature of the market.
Peter Vogel - The Boston Company: When would you expect the three to four month lead times on certain chips to sort of ease?
Cliff Pemble: We probably don't ever see that changing. I mean it has been that way for quite a long time, and it is just the way the market is.
Peter Vogel - The Boston Company: Final question. You mentioned full production in the new facility by May. Is that ramping full production at a run rate, or does it start in May? Will there be incremental start-up costs?
Min Kao: Yes, it will start in May, and by the third quarter of this year, we will have significant expansion. So again, we are preparing for the Q4.
Kevin Rauckman: As far as start-up costs, within the capital expenditures to purchase service map technology lines, SMT lines, there is really no major start-up cost.
Peter Vogel - The Boston Company: Thanks.
Operator: Our next question comes from Chris Sippel with Blueline Capital.
Chris Sippel - Blueline Capital: What was the actual dollar amount of the Taiwanese tax credit in the quarter?
Kevin Rauckman: We don't give that out detailed tax credit information, other than to say what our effective tax rate is.
Chris Sippel - Blueline Capital: Second question, on the automotive side, how much of the growth was from selling into new doors versus sell-through? I know you guys touched on overall sell-through. How can I think about it just for the automotive sector?
Kevin Rauckman: I don't know that we can quantify the growth based on that, but in general we feel pretty comfortable with our current distributors and dealers that we're selling to. So most of the growth was just in incremental units of the existing doors that we are selling into. Now there is definitely some new store sales, but I would say that is a fairly small number on the big scheme of things.
Chris Sippel - Blueline Capital: Great, thanks.
Operator: Our next question comes from Jeff Evanson, Dougherty & Co.
Jeff Evanson - Dougherty & Co.: Sorry for the follow-up. Cliff, in the PND area, by my count you have four main form factors for those products. Do you need four form factors, and how long do you think you will keep this 2000 Series form factor? I was kind of surprised to see the 2820 launched on that form factor.
Cliff Pemble: Yes, that form factor, Jeff, has been really strong in terms of appeal for certain users. I think that the number of products that we offer in the PND area has been controversial compared to our competitors. But the reality is we're able to offer a solution for almost any buyer, which actually helps us gain more opportunities in our view. The 2820 was a product specifically requested by some of our motorcycle OEM partners, and we see that as a strong offering. Longer-term, as I mentioned earlier, we don't know exactly where some of the sweet spots are going to go, but I would anticipate that we will be able to converge on the displays and form factors in some of our product lines.
Jeff Evanson - Dougherty & Co.: I guess the 2000 Series is your oldest form factor. Is that one nearing the end of its lifecycle do you think?
Cliff Pemble: I think it has come down with some of the newer products that still, at the moment, are quite strong.
Jeff Evanson - Dougherty & Co.: Thank you very much.
Kevin Rauckman: Okay. Thanks, everyone, for your continued interest. At this point, we're going to close the call. If there are any follow-up questions, please feel free to call Polly or myself, Kevin Rauckman, and again we will talk to you at the next earnings call. Thank you.
Operator: Ladies and gentlemen, we do appreciate your joining us today. This does conclude our Garmin International first quarter earnings release conference call. You may now disconnect.